Operator: Welcome to the MBIA, Inc’s Third Quarter 2018 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead, sir.
Gregory Diamond: Thank you, Crystal. Welcome to MBIA's conference call for our third quarter 2018 financial results. After the market closed yesterday, we issued and posted several items on our websites, including our financial results press release, 10-Q, quarterly operating supplements and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the Company's 10-K, 10-Q and other SEC filings, as our Company's definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and 10-Q as they contain our most current disclosures about the Company and its financial and operating results. Those documents also contain information that may not be addressed on today's call. The definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K and 10-Q as well as our financial results press release and quarterly operating supplements. A recorded replay of today's call will become available approximately two hours after the end of the call, and the information for accessing it was included in yesterday's financial results press release. Now, I will read the Safe Harbor disclosure statement. Our remarks on today's conference call may contain Forward-Looking Statements. Important factors such as general market conditions and the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Q which are available on our website at MBIA.com. The Company cautions not to place undue reliance on any such forward-looking statements. The Company also undertakes no obligation to publicly correct or update any forward-looking statements if it later becomes aware that such statement is no longer accurate. For our call today, Bill Fallon and Anthony McKiernan will provide some introductory comments. Then a question-and-answer session will follow. Now, here is Bill Fallon.
William Fallon: Thanks Craig, good morning everyone thanks for being with us today. Our near-term strategy remains unchanged. Remediating our Puerto Rico credits and managing our liquidity and capital. We made progress on both items. The proposed plant support agreement for the COFINA Debt that was announced in August continues to move along with the confirmation hearing requested for January of next year. We remain confident that the plan of adjustment will ultimately be consummated. The proposed deal reduces COFINA's debt services by $17 billion. Puerto Rico's economy has already begun rebuilding and improving whereas economic measures remain positive, which factored into higher revenues and great excess funds and the revised fiscal plans that have been certified by the oversight port. The Commonwealth's bank cash on deposit, which is an indication of the government's liquidity position reached $3.8 billion as of October 19. We believe that the improving economy has help to increase support for the COFINA Debt restructuring plan, in order to be favorable for additional debt restructurings as well. However, before PREPA’s debt could be restructured, we believe PREPA needs, new management and independent board and an appropriate regulatory regime. We have detailed these concerns in a materials that National filed in October and a motion for releasing of the automatic stays that was imposed with PREPA’s titled three filing. Ultimately through our motion, we seek to have a receiver appointed to run PREPA, which will benefit all stakeholders including the people of Puerto Rico. We believe that successfully transforming PREPA is critical to the future of Puerto Rico. However, political meddling and PREPA’s affairs has further complicated such efforts as its board of directors has made up a political points that lack utility, expertise. The utility has become overstaffed, under-skilled and lack sufficient transparency. The appointment of receiver which would assume operational control of PREPA to protect the interest of PREPA’s customers and creditors is necessitated by the Utility's well documented history of mismanagement and undue political interference and its operations. An independent receiver will better insulate Utility from political influence, stabilize its operations and set it on a path for future success. In the meanwhile, we remain committed to working constructively and collaboratively with Puerto Rico and the oversight board to reach reasonable and mutually beneficial debt resolutions, but we also intend to vigorously pursue as necessary our rights and remedies. The other credits in our insurance portfolios continues perform in-line with our expectations. Nashville's insured portfolio further reduced to $61 billion gross per outstanding at the end of the third quarter. Its leverage ratio of gross part of statutory capital was 23 to 1 down from 26 to 1 at year-end 2017. Regarding MBI Inc. Liquidity. During the quarter, MBI Inc. repurchased a 2022 global funding medium term note at a discount and subsequent to the end of the quarter, National paid its annual as of right dividend and purchased unretired MBI Inc. Debt, which raised MBIA Inc’s liquidity to above $500 million, which is sufficient to cover its scheduled debt service payments and operating expenses into 2022. Now Anthony will cover the financial results.
Anthony McKiernan: Thanks, Bill and good morning everyone. I will begin by summarizing our third quarter GAAP and GAAP results. Update you on the latest activity of the holding company including its current liquidity position and then finish with the key financial statutory metrics for national and MBIA Insurance Corp. The Company reported a consolidate GAAP net loss of $45 million or negative $0.50 per share for the quarter ended September 30, 2018 compared with consolidated GAAP net loss of $267 million or negative $2.17 per share for the quarter ended September 30, 2017. The result for the quarter was driven by loss and loss adjustment expense at National related to Puerto Rico exposures and a loss due to the deconsolidation of three MBIA Insurance Corp insured residential mortgage backed to VIEs from the GAAP balance sheet. Partially offset by accelerated premium earnings and fee income at MBIA Insurance Corp. The loss related to the VIE deconsolidation was accounting driven, resulting from the termination of the deals and associated insurance coverage. Credit losses in other comprehensive income were moved to retain earnings through the P&L. Most importantly, the deconsolidation’s were actually a positive to total shareholders’ equity as proceeds received from the transaction exceeded the net assets removed from the balance sheet. Adjusted net loss or non-GAAP measure for incoming loss was a loss of $32 million or negative $0.35 per diluted share for the third quarter of 2018, compared with an adjusted net loss of $113 million or negative $0.91 per diluted share for third quarter of 2017. The favorable change was primarily due to lower quarter-over-quarter loss and loss adjustment expenses at National related to its insured Puerto Rico exposures. Book value per share was $12.22 as of September 30, 2018, versus $15.44 as of December 31, 2017. The decrease in book value per share was driven by losses associated with the deconsolidation of certain VIEs and the additional loss and loss adjustment expense related to or Puerto Rico exposures. As of October 31, 2018, there were $90.7 million of MBIA common shares outstanding. $236 million remains under our current share repurchase authorization. Adjusted book value and non-GAAP measures was $26.80 per share as of September 30, 2018, versus $28.77 as of December 31, 2017. The decrease in ABV was primarily due to the Puerto Rico related losses of National. I will now spend a minute on the business segments. The corporate segment, which primarily includes the activity of the holding company MBIA Inc. had total assets of approximately $1.1 billion at September 30, 2018. Approximately $503 million of assets at market value were pledge to the GICs and interest rate swaps supporting the GIC operation. There were $124 million of market value assets and tax escrow account, which includes $108 million for National's tax liability for the 2016 tax year. There was also $365 million of cash in liquid assets held by MBIA Inc. During the quarter, we repurchased €30 million PAR of GFL Medium term notes due in 2022 at a discount. After the quarter-end, in October the liquidity of the holding company was increased by the receipt of the annual as of right dividend from National of $108 million. In addition, National purchased from MBIA Inc. on a retired inc. debt with maturities in 2025 and 2034 at a market value of $41 million that the holding Company had purchased in earlier periods. Following the dividend and debt sale to National, the holding Company's current cash and liquid position of approximately $500 million is sufficient to cover operating expenses and debt service into 2022 when the next significant maturities of holding company and GFL Debt come due. Turning to the operating companies' statutory results, National had a statutory net loss of $5 million for the third quarter of 2018, primarily due to $27 million of loss in LAV largely for certain Puerto Rico Credits. This compared with statutory net loss of $134 million for the prior year's comparable quarter with the improved performance due to lower quarter-over-quarter loss in LAE. National paid insurance claims for Puerto Rico bond payments in January and July 2018 totaling $277 million, inception to date claims related to Puerto Rico exposures totaled $689 million. As of September 30, the total fixed income investment portfolio including cash and cash equivalents had a book adjusted carrying value of $3.3 billion. Statutory capital was $2.7 billion and claims paying resourced totaled $4 billion. Turning to MBIA Insurance Corp. its liquidity was $157 million as of September 30, 2018. It had statutory net income of $95 million for the third quarter of 2018 compared with statutory net loss of $74 million for the third quarter of 2017. The favorable change in income was primarily due to make hold premium and the acceleration of earned premiums resulting from the termination of an international public finance credits as well as consent fees on several structured finance transactions. In addition, negative loss on LAE in Q3, 2018 versus higher loss expenses in Q3, 2017 were due to additional expected recoveries on our insured second lean RMBS portfolio. As of September 30, 2018, the statutory capital of MBIA Insurance Corp was $587 million versus $464 million at December 31, 2017 and claims paying resources totaled $1.4 billion. And now, we will turn the call over to the operator to begin the question-and-answer session.
Operator: [Operator Instructions] And our first question comes from the line of Bose George with KBW.
Bose George: Thanks good morning. So first just wanted to ask about the portfolio runoff. It was little faster than last quarter. Is there anything unusual there or is it just kind of the range where it bounces around?
William Fallon: I think Bose, it's pretty much within the range at this point, it bounces around, so as we said before, hard to predict some quarters are going to be a little bit more than others.
Bose George: Okay, thanks. And then, actually switching to liquidity, on your tax escrow comments, did you say what is your expectation is for the tax escrow account release for the next year?
Anthony McKiernan: Bose, this is Anthony. The tax escrow release will depend upon the full-year taxable income for National. At the end of the third quarter, we would expect $108 million of market value would go to Inc based on where we are today, but that is going to depend on the fourth quarter for National and with the year-end taxable income is.
Bose George: Okay, thanks. And then actually one more, just the $689 million that you mentioned, that is the total claims the you paid to-date on Puerto Rico is that right?
Anthony McKiernan: That is correct.
Bose George: And how much of that has been offsetting receivable that you guys are showing on the balance sheet?
William Fallon: We don't breakout the specific on receivable and our loss insurance recoverable, it's included in that number to $5 billion on the balance sheet.
Bose George: Okay, great. Thanks.
Operator: [Operator Instructions] And our next question comes from the line of Andrew Gadlin with Odeon Capital Group.
Andrew Gadlin: Good morning. I wanted to ask about the COFINA restructuring, which you guys have negotiated for a certificate trust structure that seems designed to encourage accounting [indiscernible]. Could you talk a little bit about the structure you are envisioning there as well as the timing of relative to the broader COFINA deal?
William Fallon: Yes. If you go through the documents, this query you have, it goes into some level of detail that the timing is such as I mentioned, there is a hearings that has been requested for January. I think so far, the COFINA timeline has stood up from when we first announced the deal, there is always going to be some procedural things that may cause a little bit of a delay, but it's really much stuck to the schedule at this point. So we will see something that looks like as we get into next year. In terms of certificates and the commutation, that is probably dealt with in the future of - in the documentation process get firmed up. There are some complicated details, but at the end of the day, it looks as though current bondholders will have a choice as per the documents to either in essence commute and get bonds or to take the certificates. But again, all those details have being documented. So it's probably best just to defer that to a future date.
Andrew Gadlin: But in terms of the election that bondholders can make, that will be simultaneous to the restructuring and then there you may have some additional dealings with them down the road. Is that accurate?
William Fallon: I think that is a fair description of it.
Andrew Gadlin: Okay. And then in terms of the notes, the MBIA corporate notes that were sold, the MBIA Inc. notes that were sold to next quarter - end, I was wondering if you could talk a little bit about the rationale there looks. It looks like it was a meaningful discount certainly on the 57 to 34 and given the amount of liquidity you have at hold co look to understand the rationale there?
Anthony McKiernan: As we had talked about Andrew, this is one of the strategies that we have employed over the last year or so to bolster the liquidity at the holding company also it [dub tales] (Ph) into National strategy regarding high yielding assets that in this case again we know the credit very well. So we thought it stood into the overall strategies that at the Company and this essentially represents the last of the unretired Inc debt at the holding company. But it's really all about getting to the 2022 liquidity window that we have talked about and this just moves us in that direction.
William Fallon: And we are also feel we have going at market value.
Andrew Gadlin: No I understand that. That is I'm a little surprised, I mean we are selling your Inc, debt at 30% discount in once case. Just the price at for MBI Inc., which you have so much liquidity to see that sale. Alright, that is it for me. Thanks.
William Fallon: Thank you.
Operator: At this time, there are no questions in queue. I will now turn the call back over to Mr. Greg Diamond.
Gregory Diamond: Thank you, Crystal and thanks to all of you for listening to our call today. Please contact us directly if you have any additional questions. We also recommend you to visit our website at mbia.com for additional information of our Company. Thank you for your interest in MBIA. Good day and good bye.
Operator: This concludes today's conference call. You may now disconnect.